Operator: Good morning, and welcome to the Piper Jaffray Companies conference call to discuss the financial results for the fourth quarter and full year of 2014. [Operator Instructions] The company has asked that I remind you that statements on this call that are not historical or current facts, including statements about beliefs and expectations, are forward-looking statements that involve inherent risks and uncertainties. Factors that could cause actual results to differ materially from those anticipated are identified in the company's earnings release and reports on file with the SEC, which are available on the company's website at www.piperjaffray.com and on the SEC website at www.sec.gov. This call will also include statements regarding certain non-GAAP financial measures. Please refer to the company's earnings release issued today for a reconciliation of these non-GAAP financial measures to the most comparable GAAP measure. The earnings release is available on the Investor Relations page of the company's website or at the SEC website. As a reminder, this call is being recorded. And now I'd like to turn the call over to Mr. Andrew Duff. Mr. Duff, you may begin.
Andrew S. Duff: Good morning, and thank you for joining us to review our fourth quarter and full year results. On our call this morning, I will spend a few minutes discussing the performance of our various businesses in 2014, followed by Deb's review of the financial results and then I will share some perspective on 2015 before we get into your questions. In 2014, we saw the confluence of strategy, execution and markets drive our best shareholder returns in over a decade. With a return on equity of over 8% and a return on tangible equity of almost 12%, our shareholders reaped the rewards from solid execution of our strategy in markets that range from neutral to accommodative across our diverse businesses. Our performance this year was a culmination of a number of steps we took over the past couple of years. These steps can be grouped into 2 major areas: first, cost and operating discipline; and second, focusing resources on our more differentiated and higher-margin businesses. Relative to cost, a major cost reduction effort in 2011 reduced our baseline non-compensation expenses by about 15%, which enhanced our return and increased our capacity to invest in the business. In terms of operating discipline, we pushed responsibility for profitability deeper into the organization. With this step, we improved our hiring discipline, replaced less productive resources and intensified our efforts toward internal development of our people. The combined efforts on cost and operating discipline resulted in improved productivity and enhanced our operating leverage. Another important aspect of operating discipline was a more comprehensive focus on risk management. Given our use of capital in the business and the volatile markets in which we operate, we felt it was critical to devote additional resources and enhance protocols in this area to mitigate or avoid exposure during episodes of market dislocations, which have occurred from time to time since the financial crisis. The second major area we addressed was to focus our resources, both human and financial capital, on those businesses where we have a competitively differentiated position and which offer higher margins and return on capital. Implicitly, this meant exiting businesses where our margins were consistently challenged, primarily much of our international activities. Over the past couple of years, we've invested in a number of areas that help drive our results this year. These included strengthening our industry-leading healthcare team, growing our consumer team, expanding our advisory business and building out a national footprint for our public finance business. We also continued to strengthen our product offering and distribution capabilities in Asset Management. Clearly, our strategy and execution has improved returns for shareholders. We are confident that our strong performance also positions us to attract and execute on more significant growth opportunities. Producers and firms are drawn to successful platforms. We experienced this firsthand with our acquisitions of Edgeview and Seattle-Northwest in 2013. Our stronger operating performance expands our capacity to add people or acquire larger businesses as opportunities emerge. Based on the quality of our people and the strength of our businesses, we are confident in our ability to continue to execute on new opportunities. Moving on to the performance of our specific businesses this year. I will begin with investment banking, where our team produced their strongest year ever, both our capital raising and advisory activities combined to drive record results. On the capital raising side, investments were made to bolster our biotech team, coupled with our already leading position in medtech, positioned us to participate in the exceptionally strong equity capital raising wave that rolled through the healthcare sector in 2014. Overall, our revenue from capital raising reflected the longest sustained period of accommodative market conditions since 2007. For our advisory business, 2014 represented a breakout year for us. With favorable market conditions, we fully realized the returns from our investments in internal development, selective hiring and the Edgeview acquisition. Our traditionally strong healthcare team registered a great year. Our consumer team, which advised on several marquee transactions, and our expanded middle-market group each made significant contributions to our very strong advisory results. Our equity brokerage business largely met our expectations this year, although it was down year-over-year. The decline was attributable to lackluster market-wide trading volumes for much of the year, coupled with a decline in revenues from strategic trading. Nevertheless, the business remained profitable and has several initiatives underway intended to produce growth in 2015. In public finance, markets for debt issuance were essentially flat year-over-year, while our business was down around 5%. We experienced challenging market conditions in California. That state represents our largest practice built on the strength of our market leadership in secondary education funding. The combination of lower issuance volumes and pressure on underwriting spreads in California created a drag on revenue for our public finance business overall. Strong performance in other markets, including Texas and Kansas and sectors like senior living where we continue to invest resources partially offset the impact of California. Looking at our fixed income brokerage business, our posture towards rates was consistent with the broader market as we entered the year. We expected rates would increase gradually throughout the year, but the trend was not clear. As a result, we generally maintained a neutral stance towards rates in most of our trading books, waiting for a clear direction on rates. The market reacted in a similar fashion as we saw dismal flow activity, with trading concentrated at the short end of the curve. As the year progressed, starting with negative growth in the U.S. in Q1 and followed by a deacceleration in major global economies in the second half of the year, rates actually declined throughout the year. Given our largely neutral bias towards rates, generally, we did not benefit from these declines. Despite the less-than-accommodative markets, we produced year-over-year growth in our fixed income brokerage business through several avenues. First, expansion of our mortgage-backed securities and middle-market teams generated some of the gains. Second, on the strength of our knowledge of municipal markets, we were able to benefit from pockets of inefficiency. Third, our business in 2014 did not experience a period of market dislocation similar to what occurred in mid-2013. Our Asset Management business generally tracked the markets for their strategies throughout the year, with the exception of significant outperformance by our international and MLP strategies. Net new assets for the year were flat across a range of strategies. Our exposure to energy through a dedicated energy fund, our MLP strategies and energy holdings in our domestic strategies created a drag in our performance in the second half of the year. Overall, revenues were up 10% year-over-year, excluding performance fees in 2013. Now I'd like to turn the call over to Deb to review the financial results in more detail.
Debbra L. Schoneman: Thank you, Andrew. I will begin by discussing our quarterly results, followed by some comments on the year overall. My remarks will be based on non-GAAP financial measures to which we referred to at the start of the call. We produced solid revenues for the fourth quarter of 2014, led by our advisory business. This business produced strong results in the quarter, albeit down from record levels in the third quarter of 2014. Several factors led to the decrease in revenues compared to our very robust results from a year ago. First, our revenues from equity capital raising were down from a strong fourth quarter of 2013 due to weaker market conditions, characterized by a 30% decline in fees in our focus sectors. Second, our fixed income institutional brokerage revenues declined compared to the fourth quarter of 2013 due to less attractive trading conditions. And third, the year-ago period was bolstered by contributions from a number of areas that tend to be more episodic, including performance fees in Asset Management and gains related to our merchant banking portfolio. For the fourth quarter on an adjusted basis, we produced net income of $15 million or $0.90 per diluted common share. Margins and profits were down compared to the year-ago period, primarily due to lower revenues. Moving to our full year results. On an adjusted basis, revenues of $632 million were up 23%, while pretax operating income was up 33%, reflecting the operating leverage in our businesses. Our adjusted earnings per diluted common share of $4.42 were up 24% compared to the year-ago period. In 2014, our revenues were driven by record equity investment banking results. An increase in capital raising and our focus sectors, coupled with some steps we took to strengthen our resources, positioned us to take advantage of the increased activity in the market. We also enjoyed very favorable market conditions for M&A, characterized by low volatility, attractive valuation levels and readily available credit. As Andrew noted, our strategic focus to strengthen our M&A resources enabled us to capitalize on this environment, which resulted in record advisory services revenues in 2014. In contrast to equity markets, fixed income markets represented greater challenges in the past couple of years. In 2013, we experienced a period of market dislocation with sudden rate increases and widening spreads. In 2014, low rates led to soft trading conditions for much of the year. We navigated these market gyrations effectively to increase our brokerage revenue by 21% over last year. We attribute much of our success in fixed income to our operating discipline and strong risk management protocols. From continuous monitoring of our hedging positions to discipline regarding inventory levels, turnover and aging, we are confident in our ability to maintain the appropriate inventory levels to provide liquidity to our clients while managing our risks. In addition, our balance sheet and risk management processes enable us to look for opportunities in the market where we can effectively deploy capital for attractive returns. Now I will turn to our noninterest expenses for the year. For the full year, adjusted compensation and benefits expenses were 61.6% of adjusted net revenues, an improvement of 30 basis points from 2013 and in line with our target range of 60% to 62%. I want to note that the compensation ratio in the fourth quarter of 2014 exceeded our target range as we made adjustments to reflect our business activity for the full year. On a full year basis, adjusted non-compensation expenses were $129 million, up from $111 million in 2013. Higher costs were driven by a number of factors. These included higher expenses from increased business activity, incremental non-compensation expenses related to the full year impact of our acquisitions of Edgeview and Seattle-Northwest in mid-2013 and a onetime expense credit in 2013 for receipt of insurance proceeds for the reimbursement of prior legal settlements. Andrew already mentioned the significant amount of cost we took out of the business. We achieved these reductions without compromising the level of support required for our businesses and clients. These cost saving measures provide a capacity to invest resources in business activities and strategic initiatives. Our current level of non-compensation expenses include incremental expenses as a result of our acquisitions and investments in the infrastructure of our asset management business. Even with these new costs, we were able to improve our operating leverage. Going forward, we anticipate quarterly adjusted non-compensation expenses of $33 million to $34 million, taking into consideration our current level of business activity. On a full year basis, our effective tax rate on a non-GAAP basis was 36.6% in 2014 and consistent with our expectation of 34% to 37%. Our effective tax rate was lower in 2013 due to the tax benefit from the full reversal of our U.K. subsidiary's deferred tax asset valuation allowance and other onetime tax credits. We made solid progress to improve our return on equity from 6.2% in 2013 to 8.1% in 2014. We intend to maintain our focus on increasing the return to shareholders over time through the effective management of our capital. This concludes my remarks. I will now turn the call back to Andrew for comments on our outlook for 2015.
Andrew S. Duff: Before we get into answering your questions, I would like to spend a few moments on the outlook for the year. As we entered the year, market conditions are a tale of 2 economies: the U.S. economy where momentum seems to be building and the rest of the world's major economies where growth is slowing or contracted. How this dynamic plays out could be a factor in the market conditions for our businesses. We expect the U.S. economic growth to continue to strengthen, driven by improving employment levels and low energy prices. Capital is available to fund growth, and CEO confidence levels remain high. In the U.S., economy continues to strengthen. We expect market conditions generally to be accommodative for our investment banking and Asset Management businesses. In this environment, the fed has signaled its intention to start raising rates sometime this year. Our gradual increase in rate should help our fixed income brokerage business without disrupting our equity-related businesses. The caveat to the U.S. growth scenario is the impact of negative economic conditions globally. Global economic drag could adversely impact the U.S. directly or lead to some other instability that reverberates back to the U.S. economy. Another possibility is that weak economic conditions and low rates outside the U.S. could overwhelm efforts by the fed to raise interest rates gradually, possibly leading to dislocation and abrupt shifts in rates. Given the uncertainty with interest rates, we generally intend to continue our neutral posture, pending better visibility in future rate movements. As the low rate, low-trading volume environment persists in fixed income, we believe our platform and relative strength positions us for possible corporate development opportunities. As I noted earlier, current conditions in the U.S. bode well for our equity-related businesses. We continue to look for opportunities to invest in our high-return asset management and advisory businesses. We have the management strength and financial resources and core competency within our support groups to acquire and absorb new firms and increase the operating leverage for our firm. Operator, we would take questions.
Operator: [Operator Instructions] Your first question comes from the line of Douglas Sipkin with Susquehanna.
Douglas Sipkin - Susquehanna Financial Group, LLLP, Research Division: So appreciate the updates on the outlook. So I guess I'm just sort of trying to get a pulse on how you guys are feeling about advisory. Obviously, phenomenal 2014, great second half of the year. And I know some of the acquisitions have really played a significant role in the 150% growth. Any early sense how we're thinking through 2015 from the M&A/advisory standpoint?
Andrew S. Duff: Yes, I'd say our pipeline is solid, and we would think this year might be a little more weighted towards the second half of the year.
Douglas Sipkin - Susquehanna Financial Group, LLLP, Research Division: Got you. Okay, that's helpful. And then shifting to Asset Management, obviously, a little bit more of a choppier environment in the second half, driven by some of the weakness in energy and MLPs and things like that. How much of a factor do you think that will be for you guys, generating new business, new flows in the first half of '15? Because I know a lot of the good retail strength you had recognized in '14 and '13 had come from sort of the MLP area. Are you seeing waning demand for those retail products or the volatility is more of an opportunity and investors are thinking this is the chance to get in at lower valuations?
Andrew S. Duff: It would appear at this point to be the latter. We're still seeing solid inflows. And as you suggested, there's about 100 basis point correction in the product spoken broadly and now yielding about 6.5% again and appears to be attractive to investors.
Douglas Sipkin - Susquehanna Financial Group, LLLP, Research Division: Great. And just last one. On munis, obviously, you had been pretty open about what your expectations were for 2014. And I think the debt underwriting was down about 9%, so it's probably pretty consistent. Any early feel for what '15 is looking like -- or what it will look like, actually [ph]?
Andrew S. Duff: Yes, so we were down approximately 5% last year. And our view would be, from a new issuance volume, that it will be relatively flat to 2014. If rates stay down here, maybe up a little bit. We did see some spread compression in a couple of markets that probably continues. We have been investing in some of the higher-margin areas like senior living and charter schools. So that's a good opportunity for us.
Operator: Your next question comes from the line of Joel Jeffrey with KBW.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: Can you talk a little bit about the growth in the equity brokerage business? Sort of how much of that was really driven by the increased volumes? And how much would be attributable to that strategic trading group?
Debbra L. Schoneman: Yes, so when you look at Q3 to Q4, that is primarily driven by just the increased volumes that resulted from the increased volatility in the marketplace. If you're looking more year-over-year, and there you see our revenues actually declining, that's a result of a couple of things, one, just being more block trades last year, which tend to be more episodic, as well as the decline in the strategic trading.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: Okay, great. And then you mentioned some sort of strategic growth initiatives in the brokerage business. Can you talk a little bit about what those might be?
Andrew S. Duff: So again, as in the last couple of years, we're going to continue to invest in our higher margin, higher return on capital businesses, still looking for opportunities in the advisory as well as Asset Management business where we've invested in increased distribution and a couple of new products in the last couple of years. From a broader Capital Markets platform, continue to look at complimentary industry verticals, when and if a high-quality property is available.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: Okay, great. And then thinking about the advisory side of the business, I apologize if I missed this before, but I think in the last call, you kind of mentioned that you thought a decent run rate would be sort of the average of what you did in the first half of the year, and that certainly played out to be pretty accurate. I'm just wondering, is the guidance there still for that type of activity level? Or is there any changes to that?
Andrew S. Duff: It's largely the same. And again, we think it might be a little more back-half-weighted this year.
Joel Jeffrey - Keefe, Bruyette, & Woods, Inc., Research Division: Okay, great. And then just lastly for me, on the comp side, the changes you made to adjust for the changes in your business and the comp rate in the fourth quarter, I mean, is that how we should think about it going forward into 2015?
Debbra L. Schoneman: No, I don't think so. I think we just -- as we got to the end of the year and assessed the performance of our business for the full year, including strong outperformance in a number of areas, we did make a small adjustment. That is not something that has historically happened or I would necessarily think would happen in the future. Ultimately, we're focused on what that full year comp ratio is and was with 61.6% for the year.
Operator: Your next question comes from the line of Hugh Miller with Macquarie.
Hugh M. Miller - Macquarie Research: Just I guess wanted to follow up on the question regarding the comp ratio and as you guys mentioned that you're focused more on the year figure. But can you just talk about kind of the competitive landscape on the hiring? You obviously mentioned that you're focused on making some investments in the business but also on retaining talent. And are you seeing any additional pressures that are kind of causing you to just -- that we should think that you should be at the higher end of the targeted range for the comp payout?
Andrew S. Duff: No, I'd just underscore what Deb said. That was a relatively rare circumstance for us in the fourth quarter, just looking at the strength of the performance of certain parts of the -- or, really, I think it's fair to say outperformance for the course of the year. But I would not say that we're seeing any unique or new compensation pressures in the recent quarters or year even.
Hugh M. Miller - Macquarie Research: Okay. And obviously, there was a benefit in the fourth quarter just with regards to volume activity on the institutional equity commissions. I was wondering if you could just give us some color on what you're seeing so far in the beginning of '15 with regard to volume and activity.
Andrew S. Duff: No. What I'd say, it's fairly similar to the run rate at the end of the year. The fixed [ph] is still mid- to upper teens.
Hugh M. Miller - Macquarie Research: Okay. And as we think about kind of the drivers of market appreciation and depreciation for the MLP product, what -- can you just help us understand what we should be thinking about as the drivers of that? And obviously, those volatility on the yield side in the quarter, yields were relatively down. What was really driving the MLP depreciation during the fourth quarter?
Andrew S. Duff: I think a lot of it was just simply the reaction to the price of oil, which declined dramatically throughout the quarter.
Hugh M. Miller - Macquarie Research: Yes. That I actually knew. And what is the energy fund's exposure relative to total AUM?
Debbra L. Schoneman: Oh, it's very, very small for the actual energy fund outside of MLP, yes.
Hugh M. Miller - Macquarie Research: Okay. And as we look at kind of the fee rate for the Asset Management products, I realized that there's the potential to earn some performance fees in the back part of the year. But as we look at second half '15 relative to first half '15, there seemed to have been kind of a fee rate compression. I was wondering if you could just provide some color on what's kind of driving that.
Debbra L. Schoneman: I would say, sometimes, it just relates to how you're looking at assets under management at given times. So some -- or many of the assets are -- or, excuse me, are billed -- are funded at the end-of-quarter assets, but there are some that go on average asset. When we look at the actual revenue yield on our products, take the MLP product, for example, that's actually up slightly for the year versus last year. So I think it has more to do with just how the average AUM is coming through versus any real change in the dynamics of our yield.
Hugh M. Miller - Macquarie Research: Okay, that's helpful. And there was some comments in the press release just with regards to the sequential change in both the M&A segment and the ECM segment where you were seeing kind of higher revenue per transaction for M&A -- I'm sorry, lower revenue per transaction for M&A and higher on the ECM business relative to 3Q. If you could just give us some color on what might be driving that and your expectations as we think about 2015.
Debbra L. Schoneman: Yes, I would say the biggest piece there is really on the M&A side, where, at times, we'll just have much larger, more marquee transactions, which is part of what really drove our revenues in the third quarter versus the fourth. I would say on the equity capital raising side, I'm not sure there's anything that you can really draw the conclusion to a trend there. It just happened to be the deals that were completed in 1 quarter versus the other. But the bigger dynamic was on the M&A side.
Hugh M. Miller - Macquarie Research: Okay. And you gave us some great color as well for the M&A outlook for '15 and back-half-weighted likely. As you think about kind of your pipeline, especially maybe within the healthcare vertical for ECM business, can you talk about how that stands relative to end of 3Q and whether or not there should be seasonality for ECM business in 2015 outside of just the normal year-end type of push that we sometimes see?
Andrew S. Duff: So I would make the comment that our ECM pipeline is very robust, and we are very active currently.
Hugh M. Miller - Macquarie Research: Okay. And is that -- is it safe to assume that, that's primarily more on the healthcare side of the business given your franchise there?
Andrew S. Duff: Well, that's likely to always be leading our activity is the strength of our healthcare practice, and that's currently true as well.
Hugh M. Miller - Macquarie Research: Okay. And so I guess given the pipeline there, is it -- should we be thinking that borrowing continued very strong and growing pipeline that the first half of the year, ECM revenue should maybe be stronger than second half?
Andrew S. Duff: I would say that's really less seasonal and more market dynamic.
Operator: [Operator Instructions] And there are currently no further phone questions at this time.
Andrew S. Duff: Thank you very much for joining us on the call today.